Operator: Good evening, ladies and gentlemen, and welcome to Vitru's First Quarter 2022 Earnings Conference Call. All participants are in a listen-only mode now. Later on, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder, this call is being recorded and will be available on Vitru's ir website. Now let me introduce your host for today's conference call, Mr. Carlos Freitas, Vitru's CFO. You may begin.
Carlos Freitas: Thank you, Geir [ph]. Good evening, everyone. Thanks for joining us today. It's my pleasure to be here with you all for the release of our first quarter 2022 numbers. Here with me are Pedro Graça, our CEO; Maria Carolina Gonçalves the Head of our IR department; and [indiscernible] also from our Investor Relations team. A slide presentation will be part of today's webcast, which is available at our Investor Relations site at investors.vitru.com.br. And before we begin, I'd like to make note that as detailed in Page 2 of the presentation, safe harbor is in effect for this call. So now I invite you to go to the Page 5 of our presentation, which I think all have in front of you. Now on Page 5, we have the main highlights of this quarter. Again the number one as you know the antitrust authority of Brazil CADE has approved the Business Combination with Unicesumar that we announced in August of last year. We are still in the middle of the 15-day additional waiting period for the contract close which is – the period going to finish tomorrow. The 15-day period will be due tomorrow on 17 May. And after that on Wednesday morning, we're going to tell you the day in which we're going to invite you for a new conference call and to define the date of the closing. Still on Page 5. We reached almost 382,000 digital education students which was an important landmark. Our intake in the first quarter of this year increased 36% in our core business, which is a Digital Education undergraduate. This was I'd say a very important growth 36%. In the calendar quarter, we don't expect this number to be similar for the full intake cycle. As you know last year the whole process was much more back ended and then I want to go back to this. But anyway we still expect the intake for this current intake cycle to be around mid-20s, higher than what we had last year. On Page 6, not only we grew a lot but also we increased average ticket in our Digital Education segment, which increased 8.5% on average comparing the first quarter of this year to the first quarter of last year, which reached more than R$300 per month per student, which shows and confirms the resilience of our model and how – I’d say how we are positioned different than the other competitors. With that the net revenue in our core business grew around 30% this quarter compared to the first quarter of last year while the overall consolidated net revenue was 18% higher than what we had last year. Regarding margins, our margin was stable at 28 – 26.7% this quarter, which means that our adjusted EBITDA grew again 18% compared to what we had last year. And finally regarding adjusted cash flow from operations, we had an increase of 20% more or less reaching R$47 million in the first quarter of this year, which means a cash conversion of 115%, again higher than 100% that we had last year. So now before we jump into the numbers of the first quarter. I just want to remind what we have been doing, what we have been delivering over time on Page 8. So as you – just quickly as you know, we had our IPO in September of 2020. Since then, we have been expanding and ramping up our current hubs. In the last 12 months, we went from 62% of students in expansion hubs to now 70%. We reached around 980 hubs, increase of 240 hubs in the last 12 months. A big chunk of them in the Southeast, in the Southeast, we have now 258 hubs. And today, already our second biggest state in terms of hubs is Sao Paulo. So, we are delivering on what we said, which was that we were going to go in the Southeast. Also, same course offering, again Nursing was a big revenue contribution this quarter as it was in the first quarter of last year and we are eagerly waiting for the net authorization that offer psychology and later on law. And finally, inorganic growth into hub which as you know is a major transformational deal for the whole sector. So on page 9 more detail on the ramp-up of our current hubs. As you know, we are still maturing most of our hubs. More than 9% of our hubs are still maturing. Those are the hubs that were open in the last two, three, four years. And the current Maturation Index of this hub is around 37%. It means that, if we decide much open any more hubs going forward, we're still going to grow in this hub more than 106%, almost 200%. So this is growth with limited in the Q2, because the most important driver of growth going forward for Vitru is the maturation of the hope we have so far, which already represents 70% as I said, of all our team base that we have today. On page 10, the overall expansion of our health and sealing base throughout country as you can see in the last 12 months, we have been growing throughout the country, not only in our – I'd say, impairment region, which is a South Region of Brazil in which we grew 16% in the last 12 months but also in the center with almost 40% as well in the Southeast, 25% 34% in the North of the country. So we are going through our review that we have been doing the last year. And we increased as well by 32% the number of hubs in the last 12 months. And again, the most important region in terms of number of hubs with now the Southeast with 258 hubs. And on page 11, just to recap again new courses. We have been opening working and we are eagerly waiting for law and technology, which is going to be another very important revenue contributor for us going forward. And on page 12. Just another reminder of what Northeast they reached 1,000 hubs in December of last year. They have 1,700 medical students and still ramping up. They are going to reach around 2,500 cities in medicine education up 26 or 27. They had a 40% EBITDA margin in 2021 with R$ 290 million in the EBITDA and a 32% CAGR in a number of cities. So this is a major component that we are combined with. As I said, we are going to close this very soon once the 15-day per from [indiscernible] expired and we are ready for it. We have gone through a full-fledged preparation for the integration. And once we finish this in the waiting period we are going to invite you all for a new conference call with more details about the integration about, and of course the synergies that we expect to have from the combination. On page 13, as you know, we are going to maintain both brands because they do test into different markets we attract different people. And here on the right part of the slide, we have updated the chart with the latest figures from the [indiscernible] in which we have been growing again more than the markets have been gaining market share. The whole market has been growing at around 21%. But we -- within this growing segment, we have been gaining market share on a year-to-date basis. So now, Uniasselvi and Unicesumar we have around 20% of the market. And this is levered on our let's say focus and technology and reputation. On Page 14 you can see that when you see the public validation from our clients, the students when they evaluate our app for example which go from up to five as you know either in place or ACQUI, the grade -- the weight average rate of into the market is 4.7% while the loan of is 4.6% which are the highest in the market when you see the whole new [indiscernible] impact in Brazil. And also when we see [indiscernible] see the public reputation of the brand and how we are perceived by our customers both in the South and in the North has the highest grades among the recent payers in Brazil.  So now on Page 15 we start more on the numbers for this quarter. We grew by 26% in our digital education undergraduate to this base which is 342,000 students and overall growth to 382,000 students in digital education including graduate course. When we see our core business, in the intake as I said, we grew 36% reaching 179,000 fees in the first quarter -- the first calendar quarter of this year. The intake is still going on. We still have more couple of weeks in intake for this current year. So, what we do expect is, I'd say slightly smaller in-state growth this year.  As you remember, last year the whole MM process was delayed. So, the whole intake process was much more back-ended than what we had this year. So, the comparison base of the curve the profile is different. But anyway, we expect to have mid-20 growth intake in the current intake cycle this year.  On Page 16 just to illustrate that growth have been spread throughout our cohort. As you know we defined cohorts and the group of hubs that were opened in a given year. So in all cohorts we have been doing as you do and this maturation of the hub is an important piece in our growth engine and in fact the most important driver for our growth going forward. So now we have – we expanded from 272,000 students to 342,000 students enrolled as of the end of March of this year.  On page 17, we'll start with financials. The net revenue as I said growing at 18% reaching BRL 178 million in the quarter, a slight decrease in the gross profit margin and I am going to [indiscernible]. And adjusted EBITDA with a stable margin at 27% in this quarter. When you see the performance of net revenue per segment on Page 18 as I said a 30% increase in our core business, digital education undergraduates which now represents 8% of overall net revenue. And we had a decrease in consumer education and on-campus undergrad business which I will explain a bit later. So on our core business [indiscernible] a 30% increase in net revenue and a 9% -- 8.5% or 9% increase in average ticket reaching more than BRL 300 this quarter. So this is an illustration of a confirmation of how -- of the resilient and difference between we are positioned in a different way in the market. And we have been offering a hybrid event model, which is different from most of the peer. And we are, I'd say, we are seeing overall market much more, let's say, rational commercial approach from all the peer. And even in a part of that, we are growing our ticket review by around 8.5%. Remembering that last year in the second quarter of last year we grew 6% in the second quarter of 2020 we grew 4%. So, again, we are expanding average ticket slightly below inflation, but explain a lot Brazil base. Important to highlight that most of the increase in ticket is not due to a mix effect. And I mean, we all know that there is a mix effect as we are increasing the weight of our filing courses, law and health and administration, which has average ticket of a bit more than BRL 400 per month. Both quarters amounted to rose 21% of sales base in the first quarter of last year and now the event around 25%. And out of this 8.5%, 9% growth in average ticket two points -- two process points is accountable to this mix effect, which means that 6.5% is due to an apple-to-apple comparison. Anyway we expect the relative weight of prudent quarters to keep improving over time, not only because of a higher competition overall in our current quarter, but also as I said before the new future with technology and law. On Page 20, we have a detail in revenue of continuing education and on-campus education. Regarding continuing education business, in the last quarter this has been negatively impacted by the reduction in the average duration, average length of our graduate courses. So this is the market trend which is in fact not only visual but [indiscernible] players that way. And anyway it's important to highlight most of the shift is now is over. So the reduction has taken place throughout last year. So we do say, the most of the shift is over and net revenue this quarter was already higher than what we achieved in the fourth quarter of last year and we do expect that the net revenue in the second quarter of this year showed is higher than what we achieved now in the fourth quarter of this year. Looking with a more medium-term view besides revenue record in this segment, our continuing education business includes technical courses and professional qualification courses and we believe this has the potential to be -- it's quite important in the future, an important additional course of revenue for us. And it is part of our overall strategy to expand complementary offerings throughout the students’ lifelong journey. Regarding our own On-campus segment our intake in the [indiscernible] cycle was a bit higher was 11% higher than what we had last year. But that was not enough to avoid the overall reduction in base and net revenue. We believe that the post-secondary on-campus business have become in trends becoming secular trends although we [indiscernible] will grow this year but coming from quite low on performance basis. Now jumping to Page 22 going to the detail about the components of our EBITDA. Cost of service is slightly higher than what we had last year, 2% of net revenue higher than what we had last year. Basically for two reasons. First one was the lower -- slightly lower contribution of continuing education which is a higher-margin business, it is the higher one we have among the three businesses that we have. But also we had last year $1 trillion in cost recovery that was one of, which represents around 2% of our revenue. So what it not for this one-off effect, our growth margin would have been quite similar to what we had last year. When we look at G&A, G&A was more stable to what we had last year, which means that we decreased the G&A as a percentage of net revenue from 8.6% to 7.1%. So we are keeping Vitru as lean as possible, should be and to remain as agile and as fast as possible as a company. On page 23, selling expenses and PDA. So selling expenses was slightly higher than what we had last year, increasing 1.4 points compared to last year. But the CAC, the cost to acquire a new customer decreased 9% than what we had last year. So we increased 24% the cost of selling expenses, but the intake was much higher than that. So the cash was slightly lower than what we had last year. And for PDA, we decreased PDA in 2 points from, 16.6% to 14.5%, which was a fraction of a slight improvement in collection. Our average collection time, number of days was slightly lower than what we had last year. So with that, we were able to get a little bit in 2 percentage point impact on the PDA expenses. And we do believe that going forward this year, the overall PDA for the whole year showed [Indiscernible] shall be slightly lower than what we had last year. So now on page 24 for net profit net income, a 66% increase in net income, adjusted net income reaching BRL 26 million this quarter, not only because of higher EBITDA in the period, but also because of higher financial income this quarter. And finally regarding adjusted cash flow from operations, we reached BRL 47 million this quarter, an increase of 20%. Our cash flow conversion was 115%, which means that we have been again generating cash. We’re not only are growing our revenue and EBITDA, but also our cash flow generation. This number here is before CapEx for actual CapEx and it was around BRL 10 million this quarter. This would have been around BRL 36 million. In a way, the important cash flow generation in the quarter, in line with what we have been doing in the last few quarter. So that was it from my side. I think that we have delivered a very nice quarter. Now, I'm going to open for questions.
Operator: [Operator Instructions] Our first question comes from Vitor Tomita with Goldman Sachs. Your line is open.
Vitor Tomita: Hello. Good evening, all. And thanks for taking our question. There are two questions from our side. The first, if we should expect selling expenses falling year-on-year in the second quarter, given that this year is intake cycle, was more concentrated in the fourth quarter. And our second question would be, if you are considering that smaller M&A deal, if there could be a potential option for increase in your portfolio in continuing education. Thank you.
Carlos Freitas: Okay. I'm going to start with the second one. So, yes, you are fully right, Vitor. Thanks for your question, by the way. Looking forward, we are going to resume activity before the deal with [Indiscernible]. We were already looking at some potential deals to complement our portfolio, either with graduate courses, either with what's called pre-courses, either with pre courses for the first job. So, the idea is that Vitru, we have I'd say a longer relationship with the same customer not only for depot during four years for underwent also after the core from a high go and engage in a report to get for job and then having an undergrad cost and then grad cost and then a lifelong experience overall for the -- for the [indiscernible]. Looking in the new term, we are going to look for more M&A opportunity including to reinforce our growth rate business. For the fourth question, I couldn’t hear you, I think that you were mentioning about the intake in the second quarter, right?
Vitor Tomita: Actually the question was about selling expenses in the second quarter, if we should see an increase as well or that could change given the different seasonality for insights?
Carlos Freitas: Okay. Yes, some expenses in most of our sell expenses is related to the intake focus. So, especially, regarding our undergrad business, which is our core. So, when we look for the second quarter, we will have not as high growth in intake as we had in the first quarter as I said because last year the whole intake force was much more back-ended. So, when we see the overall intake focus, we shall have a reduction in tax for the whole input segment when we look together the first and the second year, [indiscernible] and intake in the second quarter will not grow 33% [ph] compared to what it was in the second quarter of last year.
Vitor Tomita: Very clear. Thank you very much.
Carlos Freitas: Thank you, Vitor.
Operator: Our next question comes from Lucca Marquezini with Itau. Your line is open.
Lucca Marquezini: Hi, good evening everyone. Thank you for taking our question. So, regarding PDA the company reported a decrease in the PDA as a percentage of net revenue which is different from what we saw in most of the companies in the sector. One of the reasons for the PDA was a lower contribution from continuing education segment, what should we expect for the PDA for the rest of the year? Should we see an additional dilution or should we consider this as a new normal level for this expense line? Thank you.
Carlos Freitas: Hi Lucca. There was some noise in line, but to answer what I think you're asking, but it's right question, please correct me. So, dilution of PDA overall when you see the whole year for example, we shall expect a slight reduction in PDA overall this year compared to what we had last year for a number of reasons. The first one is that part of the overall experience of [indiscernible] meet colleagues in hub for those centers that do have physical encounters in hub. Those guys they started to mitigant or in some cases -- important this year, effective in April this year. So, by the way all the results in the first quarter of this year were before the start of the physical meeting in the hub as we started in April of this year. So, this is an important engagement sector for the class. So, -- and our model lies on a number of foundations. First one is the [indiscernible]. The second one is the meeting in hub for those guys that meet in the hub. So, those guys that have physical meetings in hub are again -- or for the first time for the newcomers meeting their colleagues and this engagement with the class mix is important for the overall process at which represents a higher retention rate and result lower PDA ratios. So, for this year, we do believe that the overall PDA ratio will be small for this reason.
.:
Lucca Marquezini: No. That was all regarding PDA in [indiscernible] very clear. Thank you.
Pedro Graça: Thank you, Lucca.
Operator: Thank you. [Operator Instructions] Our next question comes from Mauricio Cepeda with Credit Suisse. Your line is open.
Mauricio Cepeda: Hi, Carlos. Hi, everybody there. Thank you for the – for taking our questions. So I have two questions. One, I'll go back to the seasonality aspect. We were talking with your competitors during this earnings season and we noticed that this -- the seasonality in distance learning in general is something that seems to have changed for the industry, right? And I know that you are a little bit more cautioned to that because of the modular process and other value proposition you have. So how does seasonality change affected the competition in the first part of the question. The second part of the question how it interferes with PDA or evasion and other parameters that we were much more used to see in, kind of, alternated fashion between even and odd quarters? And my second question is not related to the operational aspect, but you were close to the closing with the deal with Unicesumar. And we know that the capital structure were thought about before all this interest rate rises in Brazil. So how this new interest rate scenario could change the way you were thinking about the capital structure of the new co? Thank you.
Carlos Freitas: Thank you, Mauricio for two questions. The First, one regarding seasonality and PDA. You're absolutely right. I mean we were already used to this -- I'd say we are much more spread intake cycle throughout the year because of our model academic approach. And so we realize our intake goes up to end of May for the fourth semester [indiscernible]. And we do see competition which used to finish intake around mid-April for that realized. Now they expanded more – a few more weeks. But at the end [indiscernible] product because we do have a modular approach to [indiscernible] people in a given month for example and that subject -- that the person did not attempt, he or she can attempt and reattempt later on. And when you see the competition because they do have for a type of five parallel subjects in a given semester you have a practical limit for that. So you realize for us there was no real change, more important change in our overall intake confess is already reflecting that. What we had last year was out at the point of the curve, which was much more back-ended increase with now this year is I’d say something between roughly in 2020 and 2021. And I think it's the new normal what we are seeing this year. So slightly more back ended than what we had a few years ago, but not as much as we had last year. Anywhere the closing and capital sector indeed we are close to closing. We have secured a firm credit line from four top-notch banks in Brazil. So there will be a five-year financing from those banks. And -- but of course we are looking to accelerate the deleverage of the company. We're going to start with a quite high leverage. The company, the new Vitro so the marks do generate a lot of cash, and so we can delever over time but we are not going to sit and wait for that because we realize. As I said before, we are going to look for further M&A opportunities and it is not a surprise that the current interest rate is higher than what everybody thought one year ago. So for that we have a number of options. And the first one is to go from up and raise capital in a follow-on once their market is open, which is not the case today. Second one, we could also have a product segment. And we do have a number of set probably that are looking for that. And the -- and of course that's all on the table the potential sale of the medical business that we're going to buy now, which a lot of people in the market that is ethanol whether we're going to sell it next or not. There's no decision so far whatsoever. But this pack discussion will take place in the Board after the close of contract and it is a possibility to back medication and select to other peers that are more focused on that than what we are. So we have the three possibilities. We don't have any work for that, but we do have options to accelerate the leverage.
Mauricio Cepeda: Very clear Carlos. Thank you.
Carlos Freitas: Thanks, Mauricio.
Operator: [Operator Instructions] There are no further questions. I'd like to turn the call back over to Carlos Freitas for any closing remarks. 
Carlos Freitas: So thank you all for your interest in Vitru and our team here is more than available to answer any important question you have. Thank you and good night.
Operator: This concludes the conference call. You may now disconnect.